Operator: Good day, ladies and gentlemen, and welcome to the AngloGold Ashanti Q4 Results Analyst Teleconference. [Operator Instructions] Please note that this conference is being recorded. I would now like to turn the conference over to Stewart Bailey. Please go ahead.
Stewart Bailey: Thanks, Shaun. Welcome everybody to this presentation of our results for the fourth quarter and the full year 2014 and I am going to start off by reading the Safe Harbor Statement, and then run into the agenda. Certain statements contained in this document, other than statements of historical fact including, without limitation, those concerning the economic outlook for gold mining industry, expectations regarding gold prices, production, cash costs, all-in sustaining costs, all-in costs, cost savings and other operating results, return on equity, productivity improvements, growth prospects and outlook of our operations, individually or in the aggregate, including the achievement of project milestones, commencement and completion of commercial operations of certain of our exploration and production project and the completion of acquisitions and dispositions of joint venture transactions, our liquidity and capital resources and capital expenditures and the outcome and consequence of any potential or pending litigation or regulatory proceedings or environmental health and safety issues are forward-looking statements regarding our operations, economic performance and financial condition. These forward-looking statements or forecasts involve known and unknown risks, uncertainties and other factors that may cause our actual results, performance or achievements to differ materially from the anticipated results, performance or achievements expressed or implied in these forward-looking statements. Although we believe that the expectations reflected in such forward-looking statements and forecasts are reasonable, no assurance can be given that these expectations will prove to have been correct. Accordingly, results could differ materially from those set out in the forward-looking statements as a result of, among other factors, changes in the economic, social and political and market conditions, the success of business and operating initiatives, changes in the regulatory environments and other government actions, including environmental approvals, fluctuations in gold prices and exchange rates, the outcome of pending or future litigation proceedings, and business and operational risk management. For a discussion of these factors, refer to our annual report on Form 20-F for the year ended 31st of December 2013 filed with the US SEC on 14th of April last year. These factors are not necessarily all of the important factors that could cause our actual results to differ materially from those expressed in any forward-looking statements. Other unknown or unpredictable factors could also have adverse material effects on future results. Consequently, you are cautioned not to place undue reliance on forward-looking statements. We undertakes no obligation to update publicly or release any revisions to these forward-looking statements to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events, phase of the extent required by applicable law. All subsequent written or oral forward-looking statements attributable to the company or any person acting on its behalf are qualified by these forward-looking statements. The communication may contain certain non-GAAP financial measures. We use these measures and ratios in managing our business. Non-GAAP financial measures should be viewed in addition to, and not as an alternative for, the reported operating results or cash flow from operations or any other measures of performance prepared in accordance with IFRS. In addition, the presentation of these measures may not be comparable to similarly titled and measures other companies may use. We post the information important to investors on the main page of our website at anglogoldashanti.com. The information is updated regularly, you should visit the website to keep up to date on this information. And the agenda for today, we're going to start off with Venkat on some introductory comments. We're going to pass over to Ron Largent, who will look at the international portfolio, Mike O'Hare then on the South African portfolio, Graham Ehm, on our projects and exploration, Christine Ramon, on the financials and also the outlook for 2015, Venkat will wrap with some concluding remarks. Venkat?
Srinivasan Venkatakrishnan: Thank you, Stewart. Good morning, ladies and gentlemen or good afternoon, ladies and gentlemen. I'll be quickly referring to some of the slides in here, starting with slide number 6, our strategy of delivering sustainable free cash flow and returns, to recap, it's built on five pillars. Firstly getting the foundation right, which is around safety, people and sustainability, then ensuring that we have the financial flexibility to operate and deliver on our objectives. Thirdly, maintaining strict cost discipline across all of the aspects of the business. Fourthly, improving the quality of our portfolio continuously. And then finally remembering that mining is indeed a long-term gain and preserving and improving the long-term optionality within the business. Turning on to the highlights page, which is slide number 7, our reports announced today shows eight consecutive quarter of delivery in terms of our performance. If you look at our full year performance, production was 4.436 million ounces, except the top end of our market guidance, its 8% growth year-on-year, 12% when you compare it to 2012 and importantly second year of delivery to annual guidance. All-in sustaining cost at $1,026 per ounce came in at lower end of guidance and shows a 13% improvement year-on-year. A similar trend on all-in cost which has come in 22% improved year-on-year on the back of growth in profitable output here notably Kibali and Tropicana, tight cost management and capital discipline. And as Christine will cover in her presentation, adjusted EBITDA has been flat year-on-year despite a 10% drop in gold price and free cash flow improved significantly compared to what it was last year, it was minus 112 as compared to a burn rate of about a $1 billion after fully funding interest capital expenditure, funding of one once-off Obuasi retrenchments and Rand Refinery loan. And pre these once-off expenditures at Obuasi and Rand Refinery the cash generation for the year was $142 million and when you add the interest bill of $250 million you can see that the pre interest service cash flow of $400 million even after funding project capital of $350 million to $400 million shows the good cash generation potential of the business. For the fourth quarter, production at $1.156 million ounces came in ahead of guidance and slightly ahead of that of our prior quarter. Cash cost of $724 beat guidance and improved year-on-year and from the previous quarter all-in sustaining cost showed a 2% improvement from the previous quarter and progress was underway in terms of self-help deleveraging measures. The table on slide 8 shows what we have been able to deliver over eight quarters despite the significant drop in the gold price of $137 an ounce and the related headwinds, we have improved production, we have reduced costs, we have slashed overhead, reduced the capital spend, whilst preserving the long-term optionality and we have seen the cash flow swing from where it was in 2013. Importantly, over this period, we had to absorb two years worth of inflation in 10 jurisdictions, so the real cost reductions are in fact higher. On slide 9, safety, as you know safety is our first value and it comes first in everything we do and have continued to improve on the work we have done previously in this area of the business. After our longest run without a single fatality in the group 220 days and 17 months without a fall of ground fatality in South Africa, we unfortunately lost three of our colleagues in South Africa during the fourth quarter, one of whom we announced when we announced our results for the third quarter and we have had two more unfortunately since that date at our Mponeng mine. One life lost is one too many and it shows we cannot afford to be complacent in this area and more work indeed remains. Having said this, it will be amiss of me not to highlight a 67% drop in fatal accidents from the 2012 days and new records being created across the group with all injury frequency rate improving. South Africa in particular set a new record with the most reduced number of fatality since its formation and the international part of the business improved their performance year-on-year. Continental Africa completed its first ever year with zero fatality and the lowest injury rates. As we said earlier, there is no room for complacency and focus is on major hazard management and we are currently assessing over hundred thousand critical controls each month. In terms of slide number 10, Christine will articulate our balance sheet position and this slide should be read in that context. A set of focus work streams are already underway in terms of self-help deleveraging measures. In terms of the portfolios, starting with Obuasi, I recall that there was significant amount of skepticism that existed in 2013 on our ability to take the bleed rate down at the Obuasi mine down significantly. We are pleased to be able to report that based on the good work which was done by Ron in laying the foundation from the technical base in 2013, the work then was picked up Graham and David subsequently and Ria we have managed to move Obuasi into limited operating phase by the end of 2014. Workforce have been retrenched and the feasibility study is well advanced. We will progress the feasibility study during the course of this year, have the dialogue with the government before we make it public and the intention here is to keep the mine largely in a limited operating state whilst continuing with the underground decline for this particular year and that’s exactly inline with what we announced previously. We are also looking options around JV of sale of an operating asset for full value. This option is being progressed, but we have intentionally not being specific about which asset we are looking at for a variety of reasons, including that these are assets with employees and stakeholders and we only want to come to the market and announce when we have a transaction which we can announce. We are also continuing to explore partnerships in respect of our Colombian projects and that work stream is well advanced. One has to recognize obviously that we are dealing with difficult market conditions when it comes to finding partners in respect of Greenfield’s projects. With regard to cash flow optimization, business plans are optimized to improve cash flows. The P500 project which Ron will elaborate on has achieved a $500 million savings and we are into our third consecutive year of all-in cost reductions. Mike will articulate what we have done in South Africa to pull down their all-in sustaining cost and in 2014 it’s the lowest within the South African industry and he will cover it in his presentation in where they have got to with regard to consolidation of regional hubs. In terms of leverage, in addition to offering good leverage to the gold price, we are also exposed to currencies and lower fuel prices and this will be unpacked by Christine in her presentation. Turning to slide number 11, it shows what track record we have built in terms of consistency and delivery on our quarterly guidance. We have tracked it back close to 12 quarter and as you can see we are either met or beaten every production and cost target during at least the last two years, whilst we had to weather numerous headwinds. And as we have said previously, it has been a walk in park given those challenges, but we have continued to deliver upon our commitment. You will appreciate that a business of ours is quite complex and there maybe weird occasion where we miss a quarter or two of guidance, but so far between 8 to 12 quarters we have actually banked our performance to guidance intact. With those introductory comments, I hand you over to Ron, to walk you through our international operations.
Ron Largent: Thank you, Venkat. And good morning. I will discuss the quarter-four 2014 operating results for Continental Africa, Australia and the Americas region. I will not discuss each asset individually as they are within the quarterly report. Firstly, the company's safety performance was covered by Venkat earlier, but I want to re-emphasize the commitment of the operating group for the continued quarter-on-quarter improvements. We as management are very appreciative of the hard work the operating teams have shown in obtaining the milestones, but understand the commitment and work required in continuing driving these outcomes. Each quarter, I comment on the cost rationalization work and I've asked you to continue to watch the outcomes on a quarterly basis. The objective of moving – removing the US$500 million from the operating cost over an 18-month timeframe ended in quarter four 2014 and was achieved. This cost rationalization work has been transferred into the operating business improvement initiative process, now cost improvements are continuing to be managed via site general managers and the corporate business improvements structures. The VI [ph] work includes contract management, goal procurement, ore body scheduling after the efficiencies and many others. We've now moved the efforts of the process into asset scheduling and efficiency improvements. We've also included considerable cost savings into our 2015 plan. International operations achieved an all-in sustainable cost of $987 per ounce for 2014, it’s particularly interesting to reflect that the Continental Africa regions all-in sustainable costs of US$970 per ounce reduced 35% year-on-year and is at the lowest levels since 2010. So, I'd like to go to slide 13 and make comments on each region very quickly. The Continental Africa region production for quarter four of 2014 was 419,000 ounces at a cash cost of $687 an ounce compared to 460,000 ounces at a cash cost of $839 for 2013. Although the ounce production reduced on the year-on-year comparison due to planned reductions in the Mali mines, the sale of Navachab mine and the work in resetting the Obuasi mine, which Graham Ehm will detail shortly. The cash cost have been reduced significantly. During the quarter Geita, Kibali and Siguiri mines all delivered solid operating performances. Slide number 14, the American region production for quarter four, 2014 was 280,000 ounces at a cash cost of $677 per ounce compared to 262,000 at $634 in quarter three 2013 – sorry, quarter four 2013. Increase tonnages at Cuiabá and Corrego do Sitio and mining improvements at Serra Grande had positive impacts on production. All-in sustainable cost for the quarter was impacted by timing of stay-in-business capital. Cripple Creek & Victor mine in Colorado had a lower production then planned due to a couple of delays within starting up of the new milling circuit. I am glad to say that the mill is currently in ramp stage. Slide 15, the Australian region, production for quarter four 2014 was 152,000 ounces at a cash cost of $861 per ounce compared to production of 169,000 ounces at a cash cost of $640 in quarter four 2013. The quarter four 2013 production numbers in cost metrics reflect the mining of the crown pillar a year ago, which ultimately end up in that difference in the production – comparison over the production quarter-on-quarter. Sunrise Dam production accomplished record ore production from the underground mine at 619,000 tonnes in quarter four 2014, up 10% from previous quarter. This is important as the underground that was planned to produce 2.4 million tones in 2014 on its ramp up to somewhere north of the – in 2015 to ultimately feed the mill that has better than 3 million tonne per year STD [ph] The Tropicana mine recorded production on higher ore tones and which allowed higher grades to be delivered to the mill. On slide 16, I want to take this time – this graph represents the cost management outcomes across the international assets over the past few years. All-in sustainable cost reduced from approximately $1200 per ounce in 2012 to $968 in 2014. Additional reductions or plan is scheduled for 2015. So within this, I thought it would be good to give an overview of the reduction, but they are included in the $500 million reduction over that 2 year period. Global procurement is responsible for about $150 million over these two years, process plan improvement which could be throughput and some over management. Recovery changes responsible for approximately $70 million, reduction over the two years. Restructuring of offices, G&A and labor responsible for about $140 million over the two years, contract management primarily re-working the contract mining in throughout Continental Africa is accountable for approximately $60 million over this two years and scheduling and efficiencies of asset planning is accountable for about %80 million. These are the sustainable cost that we are working on to continue to work on year-on-year and we should be able to manage these throughout 2015 and beyond. So with that said, I'd like to turn it over to Mike O'Hare.
Mike O'Hare: Thanks. Morning, all. If I could start safety and talk a little bit about the – the fact that we had a really good 2014 where we achieved a million fatal free shift in the quarter across everyone of our operations and unfortunately we then had a fatality at Kopanang mine which is the first one since 2012, which was followed rapidly thereafter the two more fatality at Mponeng [ph] and both of those event reduced the production significantly at both of those mines. [indiscernible] we've had another fatality at Mponeng during Q1 and which shows us that despite the fact that we went over 250 days of that fatality, we just cannot let our guide for a minute. But given the long-term trend in our fatalities I am confident that we will continue on our journey towards here. Having said that, I think we need to note that both Kopanang and TauTona had good performances during the quarter both from a production and cost point of view, Surface Sources remind me the hard rock MOD at a stead quarter and Mine Waste Solutions continue with a slow improvements and its pleasing announce that they produced a maiden uranium with 4000 kilograms of uranium being produced during the quarter. I'll move to slide 19, talk a little bit about what we're doing with cost. Ron mentioned the project 500 work and you'll see the results in our region of that over a number of years. You need to look at this graph against the background of the planning production as we cut low grade ounces. And as you seen during the year we've cut both at Kopanang and Great Noligwa and I would like to unpack a little bit further what we're really done in terms of the cost restructuring and maybe a little bit of the future for 2015 on slide 20. In 2014, we now predict we were going to restructure both Moab and Great Noligwa in order to reduce the CapEx, increase the productivity of the people, while decreasing the commute to the workplaces. This is resulted in us being able to reduce Moab Khotsong all-in sustaining cost by 25% if you compare 2013 to 2014. They are now producing at $900 per ounce. Great Noligwa with the same period has reduced day cost by 10% to $1,185 per ounce, despite the fact that they have decreased their production. Given the success of this during 2014, we announced during the last quarter that we'll be expanding this process to Kopanang. Kopanang is the highest cost underground mine in the region and we need to apply some of the principals to that mine to bring down the cost there in order to increase our margins. A leadership has been appointed for the Vaal River district and they've been tossed with three things to do. Firstly, to come up with a Kopanang mining plan, which increases our margin. Secondly, to forecast out of the Vaal River district footprint. That district was designed for 11 mines and we really only operating three now and then look at where we're got duplication between the regional areas and the mines in order to eliminate those duplication. If I move to slide 21, I am going to talk a little bit about energy, 25% of our cost come from energy requirements and in the region as you'll see from the bars, we really followed a strategy that reduces outcome function. I belief is that reducing your own consumption requires very little capital outlay and the benefits are immediate. We've been able to do this work over many years by re-engineering things like cooling and ventilations systems underground, closing areas down and making our surface plant that generate the cooling more efficient. We recover energy from turbines installed at the bottom of the mines which are really [indiscernible] which recover energy as the water goes underground into each and every mine. Finally, if I move to slide 22, progress on our technology. For 2014 we've drilled 83 production holes and recovered over 100 kilograms of gold. If one looks at the margin that we've created with this mining only, we have abated [ph] 50,000 rand per kilogram margin. The work for 2015 is to improve the technical availability of the machines that we have installed. Secondly, to get to mining for 345 days a year and this means engaging the workforce and engaging the unions around change shift arrangement and working over weekends and public holiday. Those negotiations have begun already. And with that, I'd like to hand you over to Graham. Thank you.
Graham Ehm: Thanks, Mike. I'll start with Obuasi on slide 24. We advised in mid 2014 as a plan to wind down the operation at Obuasi and conduct feasibility study into the mines future. At the end of December with the approval of the government of Ghana wind of the operation was completed and we're now in the limited operating phase, which involves care and maintenance of the fixed asset, re-treatment of tailings from the Diawusu [ph] area and continue action f the development of available Obuasi decline. Into our Obuasi workforce which released and the workforce was employed for the limited operating five. We have made good progress on the feasibility study with the assistance of SRK who are helping us overall coordination and ultimately sign off the rig. The future operation was shaping up as 5 to 6000 tonnes a day, mechanized underground mine. The new operation is being designed on this tape grade eliminating low margin ounces and targeting a 20% and 30% all-in sustaining cost margin at the current spot price. To achieve these lower cost structures, we remain to in-invest in plant and infrastructure refurbishing the KMS shaft to achieve the high capacity, upgrade the underground materials handling system, construct the processing plant and refurbish the mill. Importantly, we will establish a new operating model similar to that as Sunrise Dam with an integrated approach to grade control, mine geology, mine planning, mechanized contract mining and long hauls trucking. When we defined the scope of Obuasi's development in the phase ability study, we'll present our plans to the government and other key stakeholders and obtaining the necessary licenses and permit. Consequently, 2015 will be year in which Obuasi will remain the limited operating phase, while the future of the operation is optimized and the necessary agreements and approvals are put in place. Only when agreement has been reached with the government of Ghana, we will be in a position to detail our plan for Obuasi's redevelopment. In regard to reserve, you'll note that as a consequence of configuring a higher grade mine, the state of 2014 reserve to produce the 5.3 million ounces, while resource expand of 27 million ounces. It’s a large difference and due to a number of factors, the reserve price is at $1100, while resources are at $1600 an ounce. The quoted reserves are in the south end of the mine with a resource, excluding reserves is approximately 8 million ounces. With the application of incremental cut off rates and mine optimization, up to 30% could come into a reserve at the reserve planning price or up to 2.5 million ounces. Other resources during the northern end of the mining, remnant high grade quartz vein areas we are not focused on these areas at this stage. There is also approximately 1.7 million ounces in all tailing stands which could add supplemental ounces in the longer term. In summary, the 20%, 30% and 50% of the exclusive resources could come into reserve in time or between $5 million and $10 million ounces. Moving on to Kibali on slide 25. Kibali had a very good December, – sorry December quarter, achieving gold production of 178,000 ounces on a 100% basis. You can observe from the chart that progress is being made by the Kibali team on the ramp up. Construction and commissioning of the mid plant and the firstly added infrastructure has now being completed. Design throughput and recoveries have been achieved and a key focus is on improving plant run time. The shaft sink is progressing very well reaching 720 meters at the end of the year. Development of the crusher label is commenced. Decline development continues ahead of plan and first stope [ph] ore was mined in December. On 100% basis approximately $270 million of the initial capital remained over the next 3 years and this is associated with the paste fill plan shat and underground development and two high grade power station. With the main project development completed on a 100% basis, Kibalie can now be considered at 6000 ounce per annum operating mines with an all-in sustaining cost of approximately $600 an ounce. Moving on to Cripple Creek, construction at the mill has been completed and finishing is well underway and construction of the Valley Leach is on track for mid 2016. The total capital forecast for the project remains at $595 million of which $343 million is paid, projected capital for 2015 is approximately $100 million. Turning to explorations, on slide 27 and in Colombia I'll comment on Nuevo Chaquiro. Last quarter we released the Medellin resource to Nuevo Chaquiro with 4 million tonnes of copper and 6 million ounces of gold. Drilling during the December quarter is obtained additional good results outside the resource, including a 1088 meters of [indiscernible] 2% copper and 0.4 grams per tonne gold. This additional data is expected to add 20% to 30% to the resource. We've also had some good results in Brownfield’s exploration at our mines and now let me comment on two. At Sunrise Dam and the upper part of the Vogue domain, with good drill results, the resource increased year-on-year from 624 to 990,000 ounces. And at Cuiaba in Brazil, drill results provided further evidence of the plunge continuity of the footwall zone between the 15 and 24 levels. We also had quite good results come from Kibali and I'll focus on those next quarter. Moving on to resources on slide 29, we acquired our resources at $1600 an ounce and total resources were more or less unchanged year-on-year with depletions and reductions offset by additions that Nuevo Chaquiro and Colosa in Brazil and the Sunrise Dam and Siguiri. In regard to reserves, our reserves acquired over $1100 an ounces and compared to our peers AngloGold is one of the more conservative on their reserve gold price. Production depletion of our reserves was 4.9 million ounces and the Navachab sale accounted for 1.9 million ounces. Reserves increased by 2 million ounces dominantly at Siguiri and Sunrise Dam. And as I commented earlier, we are designing a new Obuasi for higher margins and lower cost, consequently we saw a reduction of $2.6 million ounces as we removed high cost ounces from the plan. In drilling [indiscernible] and at Moab our data to add complex geology resulting in a reduction of 2.1 million ounces. Our reserves at year end then stood at 57.5 million ounces. With that reduction in reserves has also been an outcome of the lower drilling and evaluation spend over the last two years, as we responded to the reduced cash flows with a lower oil price. The reserve change should not be considered a concern, you can see from the resource base that this is strong and we expect a future investment in exploration and the valuations will bring the resource conversions in time. Thanks very much. I'll now hand over to Christine.
Christine Ramon: Thank you, Graham. Good morning and good afternoon everyone. As we heard from Venkat we have consistently delivered on our production and cost target ahead of guidance for quarter four 2014 beating market consensus view amidst continuing adverse market condition. Our focus remains on strengthening the balance sheet in the medium term and creating a prudent buffer for volatility. We will achieve this by prioritizing the generation of sustainable free cash flow from our diverse diversified portfolio of assets and focus on progressing self transmission. I will now talk in more detail for our fourth quarter and full year performance, as well as our balance sheet focus before I end on the outlook for quarter one and full year 2015. Moving on to slide 32. Our favorable trajectory on cost continue discipline on all cost and strict capital allocation. Overall full year production levels increased by 8% compared to last year, reflecting the first full year of production from Kibali and Tropicana which underpinned improvement in all-in sustaining cost of 13%. In addition, a strong focus on the reduction of direct operating cost, corporate overhead and exploration costs has enabled to deliver significant savings both in quarter four and for the full year as reflected in the lower cash cost and all-in sustaining cost. Capital expenditure has reduced by 24% in quarter four and by 39% for the full year compared to last year, reflecting project completion and capital prioritization. Slide 33, corporate and exploration cost have reduced by approximately two thirds respectively from its peak in 2012. We believe that we reached sustainable levels in corporate overhead taking into account inflation, while a strong focus on cost optimization and cost discipline will continue. As you heard from Graham, we continue to focus on fewer countries for Greenfield exploration, including Colombia and Australia. We have prioritized Greenfield exploration at our operating mines that show big potential for growth. Slide 34, our efforts to tackle cost across a broad front continues to be proved as reflected in the 2% decrease in our all-in sustaining cost from $1036 per ounce in the quarter three to $1017 per ounce in quarter four, on the back of higher projection with Kibali and Tropicana being lower cost producers. We also saw the benefit of weaker local currencies lower power tariff and the scale down of Obuasi despite higher sustaining CapEx and higher exploration and rehabilitation cost due to the quarterly spend profile as in prior year. All-in cost $1143 per ounce compared to quarter three is flat. Slide 35, in order to provide a better understanding of our adjusted headline earnings we showed normalized earnings. The major adjustments made in adjusted headline earnings to our normalized adjusted headline earnings of $68 million relate to operational and corporate redundancy of $147 million mainly relating to Obuasi and closure and termination cost of $30 million which primarily related to Mongbwalu. Moving on to slide 36. Our balance sheet is highly geared and efficiently structured with a strong leverage to the gold price. Our net debt level has increased between 2011 and 2013 given the investment in maintaining and enhancing our portfolio as reflected in the $8.3 billion capital spend over the past five years. A sharp drop in the gold prices since 2012 together with the completion of capital expenditure on our growth project to bring them into production is directly correlated to the increase in mid state levels in the company. As we note in quarter three results, the 2014 year end debt level of $3.1 billion has remained similar to last year, despite the higher capital profiling in quarter four the Obuasi retrenchment payment and the Rand Refinery loan funding. We are focused on strict capital allocation and capital privatization as reflected in the fully 8% introduction in capital in 2014 compared to 2012 in capital expenditure was added to peak. We have prioritized sustained business capital to ensure the sustainability of our operations, the 20% decline in the sustaining capital from 2013 primarily relates to the down scale of Obuasi, the focus on optimizing the cash flows relating to discretionary capital and weakening currency. Project capital includes Mponeng Phase 1, Kibali underground and the MLE2 expansion at CC&V, and the Obuasi decline development which Graham spoke about. These projects will enhance the long-term optionality of our group, enabling us to deliver long-term shareholder returns. Slide 37, our debt has long dated maturity with the spread of types of facility and currencies enhancing flexibility and currency matching. The US dollar and Aussie dollar facilities are five-year term. The US dollar RCF is $1 billion of which $100 was drawn down in December 2014 to facilitate the Obuasi retrenchment. The Aussie dollar facility has been reduced to 500 million Aussie dollars and is currently 350 million Aussie dollars drawn. The rand facility of 1.5 billion range reflect similar terms as our US dollar and Aussie dollar facility. These facilities incorporate a looser single covenant, with net debt to EBITDA now sit at 3.5 times from 3 times previously with a one-fixed monthly period waiver of up to 4.5 times subject to certain conditions. The earliest bond maturity date is in April 2020 allowing the company sufficient time to plan for the redemption or refinancing. The high-yield bond issue this fall can only be exercised from July 2016 onwards at our discretion, thus allowing us sufficient time and flexibility to fully explore our self-help measures before we decide how to proceed with this opportunity. We continue to have both the full discretion and sufficient time in deciding how to use this opportunity, should we decide to go that route. The conclusion of the potential asset sale and JV partnership should help us determine whether or not we elect to exercise by highest yield bond core option. Our credit ratings remain unchanged at BAA3 rating, with a negative outlook by Moody's and BB+ with a negative outlook by S&P. Moving to slide 38. We have sufficient facilities and headroom in our balance sheet to fund our ongoing operational requirements before and after downside sensitivities relating to production disruptions within regions. In order to conceptualize the potential impact of a production disruption in the SA region, bear in mind that 72% of our EBITDA is currently generated by our international operation. Hence our geographic publication enhances our resilience to continue our production delivery despite any potential production disruptions in South Africa. Our net debt level is unchanged from last year and our net debt to EBITDA ratio has remained steady at 1.88 times despite the ones of large non-operational funding requirement. Looking ahead to 2015, we expect to breakeven at free cash flow level including finance cost. As the planning goes gold price of $1200 per ounce. Hence we are expecting our debt levels to remain steady at the end of 2015, although it may increase largely in the first half due to free cash flow profiling taking into account our budgeted assumptions and excluding proceeds from SSL or JV partnership Our covenant of 3.5 times net debt to EBITDA is based on a 12-month rolling EBITDA. We have therefore already banked 90% of our net debt cover that is needed for June 2015 adjusting period which is based just on the past few quarters EBIDA with two more quarters to make up the remaining 2015. As we have seen previously, our medium-term leverage target is 1.5 times net debt to EBITDA. We would like to reduce our debt by approximately $1 billion to take us to our comfort threshold which would include a reasonable buffer for volatility, including the gold prices risk and production disruption.. Our aim is to achieve this debt reduction through a variety of self-help measures, as Venkat elaborated earlier. Importantly, we are under no external pressure to achieve this. This is an aspirational target that can be achieved over the next few years. Slide, 39, this slide shows the movement in commodity prices and currencies over the past year. The drop in the gold price has been offset by weaker global currencies and the sharp drop in the oil prices has helped reduce input cost. Our sensitivities are issued with a health warning and have been calculated at our budgeted exchange rate and commodity price assumptions for 2015 as detailed on the next slide. For 1% weakening in our currency basket it will positively impact our cash cost by approximately $6 an ounce. The SA region is expected to have the highest impact contributing approximately 45% to the currency basket with the Aussie dollar and the Brazilian real contributing to give us about 34%. On the oil pricing facility for every $3 [ph] per barrel weakening in the oil prices has positively impact our cash cost by approximately $7 an ounce. So ending on slide 40, the outlook, on quarter one guidance and production 900,000 ounces to 940,000 and the consequential flow through on cash cost and estimate of $830 per ounce to $860 per ounce takes into account an historically slower quarter in the SA region, as well as the recent safety stoppages that Mike covered in his presentation. Our annual production guidance of 4 million to 4.3 million ounces for 2015 reflects Obuasi's limited operations base with low underground production anticipated in 2015, the disposal of Navachab and the production declines in the Mali mine. We have made no provision to production disruptions in South Africa, any foreseen operational disruptions or changes to the portfolio. However, we have included the production ramp up from CC&V from quarter two. All-in sustaining and cash cost at $1,000 to $1,050 an ounce, reflecting reduced CapEx and cost. All-in sustaining cost will exclude procurement maintenance cost relating to Obuasi, however this will be included in all-in cost. Total cash cost of between $770 to $820 per ounce are based on the weaker average exchange rate assumptions provided, and lower oil price assumptions as indicated. Corporate and marketing cost are estimated at between 95 million to 110 million and include inflationary fix and the retention of critical skill. Exploration costs are expected to remain steady from 2015 and includes the equity accounted joint ventures and the ongoing investment in Nuevo Chaquiro and La Colosa, pending potential joint venture partnership opportunities that we may consider. CapEx guidance of between $1 billion to $1.1 billion of which just over 70% relates to sustaining CapEx reflects a reduction in respect of Obuasi and re-prioritization of CapEx across the group. On that positive note, I will now hand back to Venkat to conclude. Thank you.
Srinivasan Venkatakrishnan: Thanks, Christine. If we can conclude, on slides 42, 43 and 44 and the focus here is what we have done on our portfolio, the focus on margins and the investment gains. Looking at our portfolio over the last two years we have made significant improvements to that, we have brought on stream two new low cost mines Tropicana and Kibali. As Ron mentioned the mill has been installed successfully at CC&V and the mine life extension is currently underway. Our reef boring technology in South Africa continues to progress well, improved productivity and unlock higher grade ounces that would have not otherwise been accessible. We're also converting for example our Sunrise Dam mine in Australia to a more productive and profitable operation. We have monetize our mine in Namibia. We have addressed loss making ounce at Yatela and Obuasi and we will reopen Obuasi as a mechanized productive modern profitable high grade operation. Looking at slide number 43, focusing on margins. Our focused improved cash margins over this period, as you will see from the slide has been relentless. If you look at the quarterly profile and from the peak of Q4 2012 and the little triangle there referenced to all-in cost we have pulled over thousand dollars an ounce from the quarterly peak. With regard to all-in sustaining cost, which is the yellow bar highlighted on the slide, we have reduced over $500 an ounce from that quarterly peak as well. The extent of this reduction either when you take into account relative to where we were and our ability to fight inflationary pressures and sustain this over eight quarters, compared very favorably in relative to the peer group within the gold mining industry. In fact we have gone far further than what we rest of the industry has potentially done. So to conclude, with the investment case, our investment case is strong with a number of value catalysts that will open up during the next two years. We've got a high quality portfolio of long life gold assets. We offer very good leverage to over 4 million ounces of gold and 1.3 million pounds of uranium and to the South African Rand, Brazilian real, Aussie dollar, Argentinean peso and to Seoul to name a few. We have shown that whilst we get production growth we have maintained our focus on margins and our focus on cost and capital discipline will continue irrespective of the gold price environment. We have been decisive in delivering a strategic response to a lower gold price on various fronts, production, cost, capital and overheads. Despite having appropriate liquidity, covenant and debt maturity profile, we are demonstrative – we are demonstrating that we do have a proactive track record in balance sheet management and in that regards we are prioritizing self-help measures to deleverage the balance sheet. And importantly, we do have a well developed engagement model that ensures strong stakeholder relationships and licensed to operate and what we have been able to achieve in Obausi in the last two years is a very good case in point. As I mentioned at an Investor presentation earlier, this year I've never felt so optimistic about our company as I presently do in terms of the prospects for the next year or two. On that note, I am handing you over to Stewart Bailey.
Stewart Bailey: Thanks, Ron. We are happy take questions on the line.
Operator: All right, thank you. [Operator Instructions] Our first question comes from Ken Raskin from UBS. Please go ahead, Ken.
Ken Raskin: Hi there, gents. Yes, just a few questions. Mike, just maybe for you first, just looking at the underground grade in SA, and it seems to have picked up quite a bit this last quarter, and I guess even if we look on an annual basis, versus, say, something like 2012, it's up about 10%. So I know you've spoken about these sort of sweet spots in previous quarters. Can you just maybe provide some color on that in terms of what we should expect going forward? And also, on the technology, do you have a sort of target of what you're looking at this year in terms of ounces? And then, yes, just finally on Geita, I see the costs there significantly lower. I know volumes are up there, but should we be expecting on Geita going forward?
Srinivasan Venkatakrishnan: So Ken, Mike will pick up the first two questions and then Ron will pick up the third.
Mike O'Hare: Ken, kind of let me talk to the grade first, what we've been continuously trying to do is eliminate low cost ounces, in other words ounces that fall below our cutoff grade. So I have mentioned that reductions at Great Noligwa and we've largely stop mining the low grade series there. We've cut low grade ounces out of Kopanang and that part self increases the underground grade mine. The increase that we've seen is largely coming from Moab Khotsong and again if you have look at reserve grade, we're mining very close to the reserve grade. And in fact, the only mine that looks strange from a reserve grade point of view is actually Great Noligwa, which seems to be mining if you compare the reserve grades and the actual grades that we are mining differently to the reserves grade and that’s coming on the back of us, now mining no series and a slight increase in the dilution due to the fact that we mix product at Great Noligwa i.e. we put the our development together with that. And so into the future we expect this a similar kind of grade in SA region from the underground mine, technically – sorry, then technology as far as the ounces are concerned, we talked about a 100 kilograms for 2014 and I'd be looking towards 500 kilograms on for 2015.
Srinivasan Venkatakrishnan: Ron, on Geita cost?
Ron Largent: On Geita I mean, I guess we can say there is been considerable work done at Geita to get us where we ended in 2014, cash cost will be probably be marginally higher in 2015. So I think in general more the same, but marginally higher in 2015.
Ken Raskin: All right, thank you. And just to say, Ron, is the level of production going to be similar to this last quarter, the 140?
Ron Largent: No, I think the last quarter was higher was not than expected than we thought because of the grade distribution of the grade. So on average for 2015 it will be annualized slightly higher.
Ken Raskin: Okay.
Srinivasan Venkatakrishnan: In fact what we are projecting for Geita for 2015, we have given range the top end of that range is close to 496,000 ounces for Tanzania.
Ken Raskin: Okay. Thanks a lot guys.
Operator: All right, thank you. [Operator Instructions] Our next question comes from Andrew Byrne from Barclays. Please go ahead.
Andrew Byrne: Hi. Good afternoon, guys. Ron, I'll try not to get too bogged down with this set of results, because I don't know, if there's too much new information. I was wondering if you could maybe talk us through kind of what the company looks like in two or three years. And I appreciate there's a lot of moving parts, but from the outside, when we look at AngloGold, we see a company that's produced about 4 million ounces, plus or minus, for the last four or five years, but obviously, the mix and the quality of those ounces has changed quite a bit over this time as Kibali, Tropicana and Geita have come on. But then, equally, there's an awful lot of moving parts with bringing in JVs, closing down Obuasi. When you look at 2017, 2018, you're assuming a flat gold price. What do you see the free cash flow potential of the company being once you've paid down some of the debt, potentially, for your asset sales? Can you give us a feel for what the company looks like in that period?
Ron Largent: I think really Andrew you are asking us to look ahead 2018, 2019 free cash flow potential is going to be taken by the gold price but what we are focused on right now is removing the marginal assets an ounces from the portfolio, pulling down our cost curve. Certainly as you see us going into 2016, 2017 you will start to see Obuasi pick up and expansions potentially taking place in some of the key assets such as data, et cetera. So you will see a certainly our Tier One assets largely impact, so we'll be very careful in terms of picking which asset we JV in this regard for value. But certainly looking ahead, we'd expect to see our Tier One assets largely impact and continued development across those Tier One assets. In South Africa, we'd expect to see technology bringing more ounces. We'd expect to see in Mponeng Phase II expansion go ahead with a view to bringing more cash flows from South Africa on to the table. But what you'll also see is some of the rats and mice [ph] [indiscernible] follow up the portfolio. That’s really how we look at it when we project the portfolio of going out into the future. Importantly, what we want to ensure is that we sit on the right side of the cost curve, because clearly we don’t control the gold price, certainly not when you look ahead to 2018, 2019, but what we want to do is to manage the cost, so that when the gold price pops we provide sufficient leverage to the gold price. So that’s really where the focus is in terms of portfolio.
Andrew Byrne: Okay. Thanks very much.
Operator: Thank you. Our next question comes from Tanya [ph] at Scotiabank. Please go ahead.
Unidentified Analyst: Great. Thank you. Good afternoon, everybody. I just have a couple of questions. I'm going to start off with Obuasi, and maybe, Venkat, you can give us an outlook for the next 12 to 18 months in terms of the key milestones for Obuasi that we can look forward to, and maybe remind me what the reclamation liability is on that property?
Srinivasan Venkatakrishnan: Okay. Let me give you the milestones you can look forward to when we stood in 2013, we said in 2014 we want to take the mine into limited operating state, by the end of 2014 early 2015 we got there early. We actually – the underground production seized in November of 2014. So the milestone in 2015 is really the following, delivery of a feasibility study and optimize business case during the course of the year. Two, consultations with the government in terms of input [indiscernible] to the feasibility study. Three is continued development of the underground decline, we are at 20 level already, we want to progress that with the jumbo we currently have at Obuasi. So when we stand up at the time when we announce our results for 2015 and early 2016, we want to be in a position to say this is the outcome of the feasibility study, government buy-in received and how do we see the development going either on our own or through a joint venture partner. That’s really where our thinking us. 2013 was preparing the ground, 2014 taking it into limited operating state, 2015 is limited operating state, 2016 is basically giving the pathway into the development of the mine, that’s really the milestones we are looking at this stage.
Unidentified Analyst: And then, Venkat, when you say minimal production for this year, what exactly is minimal? And then remember the reclamation liability.
Srinivasan Venkatakrishnan: Yes, sure. With regard to the production for this year, for 2015 we are showing no underground production, production is purely from tailings treatment and it’s a small amount Ron actually say its about 20,000 ounces coming in that regard. With regard to the reclamation liability Christine can figure up?
Christine Ramon: Yes. It’s about $200 million and I think to bear in mind that it does actually vary with discount rate changes and re estimation of liability. So we just see some adjustments in this last quarter with regard to that.
Unidentified Analyst: Okay. And that’s US$200 million?
Christine Ramon: Perfect.
Unidentified Analyst: Okay. Perfect. And actually, Christine, while I have you there, can you also give me what the book value is for Cripple Creek, now that we've been spending all of this capital?
Christine Ramon: It’s about - in the region of about $950 million.
Unidentified Analyst: Okay. Perfect. Thank you, there. Sorry, I just had a bit of cold. And then, Venkat – I'm sorry, thank you very much for that, Christine. Maybe just also just thinking about your overall strategy, you talked a bit about obviously bringing down this debt by about $1b, I think Christine said over the next few years, which is your medium-term goal, and we talked about obviously cost cutting and then asset sales. When you talk about joint venturing of assets, would we assume that if that was to occur, that you would maintain operatorship of operating assets?
Srinivasan Venkatakrishnan: Yes, firstly just to put in context here, the $1 billion was an aspirational target where we are trying to see how we can get to the interest build, it doesn’t need to come all from asset sales, we can choose to finance a stub using a lower cost instrument. So our point of view what are looking at is basically in terms of balance sheet yes, deleverarging to give us some cushion in terms of gold price volatility. If any assets we look at joint venturing, we'd obviously to want to keep the operatorship because of the historical knowledge of that particular asset and also to participate in our share of the upside going out into the future. So, any JV having operatorship by ADA is a big plus point when it comes to both AngloGold Ashanti and for any joint venture partner.
Unidentified Analyst: Okay. Perfect. Thank you very much.
Srinivasan Venkatakrishnan: Thank you.
Operator: Thank you, Tanya. Our final question comes from Harry Mateer from Barclays. Please go ahead.
Harry Mateer: Hi. Good afternoon. Just a couple questions. I guess, first, you did mention the credit ratings during the call and talked about your debt reduction medium-term aspirations. Can you just update for us where you stand with the rating agencies, in particular, and whether you see a potential for movement on the negative outlooks that are currently in place on the ratings.
Christine Ramon: Sorry, I just switched off. The question is about the credit rating?
Harry Mateer: And yes, and whether there is going to be any movement on the credit ratings…
Mike O'Hare: On the other negative outlooks, yes.
Christine Ramon: Yes, I think you know, we [indiscernible] operating agencies that are on the line, on the call, so I think we do have some ratings review meetings coming up, but in terms of the review that have actually been recently conducted, I've reaffirmed our status with a negative outlook, but I think quite importantly is the views on the gold sector actually does, actually impacts on the ratings agency view. And I think let's leave it that. The important thing is that we do focus on the factors under our control and I think the focus will remain and if we got that going forward.
Harry Mateer: Okay, thank you. And then, Venkat, when you talk about using lower-cost instruments to get interest costs down, can you elaborate on that? Are you talking about potential convertible issuance or any other leverage you're looking at there? A - Srinivasan Venkatakrishnan No, we are not referring to any particular instruments, just given an example where we financed it that stage in market conditions which were not conducive, so we paid a high yield coupon and couple with that we put an issue as called which is also our estimate of premium, we'll that make that call nearer the time based on market conditions prevailing at that point in time.
Harry Mateer: Got it. Thank you. Thanks very much, Shaun. I think that’s it from us. Thank you everyone for your attention and we'll chat again in three months.
Operator: Ladies and gentlemen, on behalf of AngloGold Ashanti, that concludes today's conference. And thank you for joining us. You may now disconnect your lines.